Operator: Good morning, and welcome to the AngioDynamics Second Quarter Fiscal Year 2019 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference call is being recorded. The news release detailing second quarter results crossed the wire earlier this morning and is available on the company’s website. This conference call is also being broadcast live over the Internet at the Investors section of the company’s website at www.angiodynamics.com. And the webcast replay of the call will be available at the same site approximately one hour after the end of today’s call. Before we begin, I would like to caution listeners that during the course of this conference call, the company will make projections or forward-looking statements regarding future events, including statements about expected revenue, adjusted earnings and free cash flow for fiscal year 2019. Management encourages you to review the company’s past and future filings with the SEC, including without limitation, the company’s Forms 10-Q and 10-K, which identify specific factors that may cause the actual results or events to differ materially from those described in the forward-looking statements. A slide package offering insight into the company’s financial results is also available on the Investors section of the company’s website under Presentations. This presentation should be read in conjunction with the press release discussing the company’s operating results and financial performance during this morning’s conference call. I’d now like to turn the call over to Jim Clemmer, AngioDynamics’ President and Chief Executive Officer. Mr. Clemmer?
Jim Clemmer: Thank you, Melissa. Good morning, everyone, and thank you for joining us today for AngioDynamics’ second quarter fiscal 2019 earnings call. With me on the call is Michael Greiner, AngioDynamics’ Executive Vice President and Chief Financial Officer. Today, I will provide a brief overview of the operating highlights for the quarter. Michael will then provide a detailed analysis of our financial performance and our fiscal 2019 financial guidance. After that, we’ll open the call to your questions. We are pleased with our operating and financial accomplishments during the second quarter, which reflect our ongoing commitment to profitable growth, operational excellence, and to building a market-leading cohesive product portfolio. Our net sales for the second quarter of fiscal 2019 increased 5.5% to $91.5 million, driven by a double-digit improvement in oncology, as well as better-than-expected growth across our Vascular Access and Vascular Interventions and Therapies businesses. Additionally, our recent acquisitions of BioSentry and RadiaDyne are contributing to our results, validating our portfolio optimization strategy and enhancing our value proposition within oncology. At the product level, our AngioVac, NanoKnife, Fluid Management, and core peripheral product line continued to generate solid growth and momentum, offsetting headwinds in our Venous Insufficiency business and the anticipated slower sales of our radiofrequency ablation product. Overall, we are pleased to report growth across each of our business units, expanded gross margins, and improved profitability during the quarter and these results are supportive of our financial goals for fiscal 2019. Now focusing on the performance of each of our businesses, our Vascular Interventions and Therapies, or VIT business grew 2.2% year-over-year as strong growth in the Fluid Management and AngioVac product lines was partially offset by an anticipated decline in the Venous Insufficiency business. However, we were encouraged to see the declines in Venous decelerating. We expect comps to ease in the back-half and continue to work diligently to stabilize this business by the end of our fiscal year. AngioVac procedural volume remained strong, with procedures increasing 10% year-over-year in our second quarter, representing our fifth consecutive quarter of double-digit growth for procedural volume, which we believe validates our unique technology. As noted previously, we are making targeted R&D investments in our thrombus management portfolio, while also identifying external growth opportunities, as we seek to build out a franchise around our AngioVac technology. Next week at the JPMorgan Conference, we’ll discuss in more detail our growth plans associated with our thrombus management opportunity, as we aim to provide a more comprehensive offering in that space. We saw continued growth in our core peripheral products, which includes angiographic catheters due to the combination of our widely trusted technology and strong execution related to the sales force restructuring we implemented at the beginning of our fiscal year. Vascular Access revenue was up 5.1% during the second quarter, as improved performance in sales of our Ports and Dialysis products combined with continued strong sales of midlines was slightly offset by decline in sales of PICCs. Our Vascular Access growth was driven by the continued market adoption of BioFlo, our market-leading thrombus reduction technology. While we expect the decline in PICCs to continue, we anticipate decelerating declines going forward. We saw growth in all of our geographies in VA, and we’re particularly pleased with continued growth of our Ports and Dialysis products. We attribute much of this consistent growth to the sales and marketing leadership changes that we’ve implemented over the past 18 months, which have resulted in stronger commercial discipline and execution. As reported, revenue from our oncology business, which now includes BioSentry and RadiaDyne, increased 19.8%, driven by strong growth in both capital and disposables. NanoKnife sales were up 29.1% year-over-year, and we continue to see momentum and increasing global adoption of our technology. As previously noted, we are pleased with the early success of our oncology acquisitions as both are progressing in line with our expectations. The addition of these products is consistent with our commitments to build a continuum of care with our – within our oncology platform business that is built around our core ablative platforms, and we’ve already seen signs of how these technologies complement our existing portfolio. We will further outline our oncology platform and our growth plans next week at the JPMorgan Conference. We also wanted to update you on our progress towards obtaining a pancreatic cancer indication for NanoKnife. We are in the process of submitting final responses to what we believe are the final few questions from the FDA. We expect this to be the final step in our process towards IDE approval. We also received a determination from the FDA that the NanoKnife comprehensive study of Phase III pancreatic cancer will receive a Category B designation. This means that the FDA has determined that the information we provided demonstrates that their initial questions around safety and effectiveness for the NanoKnife System for the treatment of Stage III pancreatic cancer have been resolved. This is a significant positive as the device and related treatment during the study will be eligible for reimbursement. We are looking forward to this comprehensive study that will demonstrate the technology’s unique capabilities and benefits to pancreatic cancer patients. With that, I’ll turn the call over to Michael Greiner, our Executive Vice President and Chief Financial Officer.
Michael Greiner: Thanks, Jim, and good morning, everyone. As Jim mentioned, our net sales for the second quarter of fiscal 2019 were $91.5 million, representing year-over-year growth of 5.5%, including our RadiaDyne and BioSentry acquisitions and 2.2% growth on an organic basis. I’d also like to note that we experienced solid growth in most of our product categories, which are documented on the slides mentioned previously. Our gross margin for the second quarter of fiscal 2019 expanded 440 basis points to 53.7% from 49.3% a year ago. This is reflecting our continued focus on operational and supply chain improvements as well as positive impacts associated with our portfolio optimization strategy. Our second quarter gross margin was in line with our expectations. However, given continued headwinds related to freight and shipping, as well as productivity improvements that will not be realized in the current year, we now anticipate our full-year fiscal year 2019 gross margin to be in the range of 54% to 55%, with the fourth quarter 2018 gross margin exceeding 55%. Our research and development expenses during the quarter of fiscal 2019 – second quarter of fiscal 2019 were $7.4 million, compared to $6.1 million a year ago. Consistent with our comments last quarter, we have seen an uptick in R&D spend as a percentage of sales. We now anticipate R&D spend to be between $28.5 million ad $29.5 million, or approximately 8% of net sales for this fiscal year. This contemplates additional spending related to NanoKnife study and supporting our recent acquisitions during the back-half of this fiscal year. Moving down to income statement. SG&A expense for the second quarter of fiscal 2019 increased to $29.6 million, compared to $26.5 million last year. We anticipate SG&A expense as a percent of revenue to be approximately 33% for the back-half of the fiscal year, which contemplates an increase of approximately $4 million as a result of the two acquisitions. Our adjusted net income for the second quarter of fiscal 2019 was $8.4 million, or $0.22 per share, compared to adjusted net income of $6.3 million, or $0.17 per share in the comparable second quarter of last year. Last year, in the reported second quarter, we had $5.8 million, or $0.16 per share based on the then enacted 36% statutory tax rate. The updated reported adjusted net income for the second quarter of last year is now at the post tax reform blended rate of 30.62%. Adjusted EBITDAS in the second quarter of fiscal 2019, excluding the items shown in the reconciliation table in our presentation, was $16.3 million, compared to $13.3 million in the second quarter of fiscal 2018. This greater than 22% growth is attributable to the previously noted increase in sales and improved gross margins. In the second quarter of fiscal 2019, we generated $13 million of cash and operating activities from operating activities and our free cash flow was $12.2 million. Now turning to the balance sheet. As of November 30, 2018, we had $42.8 million in cash and cash equivalents and $145 million in debt, excluding the impact of deferred financing costs. As a result, our net debt to adjusted EBITDAS ratio is currently 1.67 times. Finally, we are reaffirming our financial guidance for fiscal 2019. We continue to expect 2019 net sales in the range of $354 million to $359 million, including the incremental revenue from both the BioSentry and RadiaDyne acquisitions. We also continue to expect adjusted EPS between $0.82 and $0.86, as well as free cash flow between $26 million and $31 million. With that, I will turn the call over to Melissa for questions.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Brett Fishbin with KeyBanc Capital Markets. Please proceed with your question.
Brett Fishbin: Hey, guys. I was wondering if you could provide some additional commentary around the early integration of RadiaDyne and BioSentry into your oncology platform, and then also now that you have a few deals under your belt this year, just generally on the M&A outlook for the rest of the year?
Jim Clemmer: Hey, Brett, it’s Jim. Good morning. The RadiaDyne and BioSentry acquisitions have been really well received by our employees. They were part of AngioDynamics prior to this. And we’re also really, really pleased with the quality of the folks, their capability, and the great culture of the two companies we acquired. Many times, I spent my career prior to joining Angio in an acquisitive company and getting cultures aligned and merged can be a challenge, and we’re lucky. The quality of the folks on our end and on the two companies have been really, really important to the success we’ve seen out of the gate. Now that being said, the really exciting thing for us is that, we haven’t even trained our full oncology sales force yet on all these products. In two weeks from today, our new oncology sales and marketing team comes together for the first time, and everybody will be cross-trained. The RadiaDyne and BioSentry folks will learn how to sell the NanoKnife and Solero and our other products and vice versa for the former Angio people. So we’re really, really excited. So out of the gate, every M&A deal has risk as we all know. We’ve looked very hard prior to making these deals to lower the risk to our company and make sure we could make opportunity matter. We think we’ve done so out of the gate. We have challenges and hurdles like any company has as we complete our integration process out of the gate, it’s been great. Now the second-half of your question as to our M&A strategy. As we’ve told you for the last year-and-a-half or so, we’ve built a company now with a really strong balance sheet that Michael talked about a minute ago. We have the capability due to the combination of free cash flow and a good debt ratio to do other deals in this space. I think, we’ve highlighted to people the areas that we’re probably going to look for opportunities, and we have the financial capability to do so. We’re now just trying to match the market opportunity the available technology with our right to win in these spaces. So we’re excited to add more things to our product line. We think the growth going forward for AngioDynamics will be a blend of our internal research and development generating new technologies out of our own house and new things coming in. Thanks for the question.
Brett Fishbin: Thank you. And then if I could just ask one more on the ongoing discussions with the FDA around the NanoKnife development plan, it definitely sounds like there has been some positive progress on that front. I was just wondering if there has been any impact from the government shutdown? And if that’s not the case, if you have, just a general sense of the timeline around a potential agreement?
Jim Clemmer: So we’ll have Steve Trowbridge, our General Counsel, to take your questions.
Stephen Trowbridge: Hey, Brett, thanks for the question. We have been monitoring that closely and we’ve been working with our contacts in FDA to try to understand what impact, if any, the shutdown will have on our continued discussions to try to get this approved for our IDE. Our best information as we sit today is that the folks who are reviewing IDEs throughout the agency are working -- are there -- are taking in questions, comments, and are continuing to move forward. We expected that’s going to be the case. We hope that remains the case, so that we can continue to move forward at a pretty expedited pace. That being said, I think, everybody both inside and outside the government are trying to figure out exactly what’s going to happen and what this shutdown means as it goes on. So we’re monitoring it. We’re having conversations. It seems like the folks that we need are in their seats and we hope that continues.
Jim Clemmer: I’ll make one final point. We can only control what we can control. So the government shutdown is beyond our control, and we can’t worry too much about that. Things will work themselves out. What’s important for AngioDynamics, what we can and have control is the quality of our submission. The people we’ve hired in the last 18 months in these spaces are really, really good world-class people now that have really, really helped us become a company that now should and can participate in the PMA world doing an IDE like this. So we are very excited for this opportunity. We believe we’ll get an approval based upon the quality of our product and the data and the submission that we put forth. So we’re looking forward to getting an approval then allowing patients to gain access to care through the physicians and the care centers that want to be a part of our registry and monitor our progress. So we’ve worked really, really hard to control the things that we can in a really good fashion. So from here, the government will take care of itself, and we look forward to hopefully getting a positive outcome from the FDA here real soon. Thanks for the question.
Operator: Thank you. Our next question comes from the line of Jason Mills with Canaccord Genuity. Please proceed with your question.
Jason Mills: Hi, Jim and Mike, thanks for taking the question. Can you hear me okay?
Jim Clemmer: Good morning, Jason. Yes.
Michael Greiner: Good morning.
Jason Mills: Great. Mike, I guess, starting with you. What are you willing to talk about publicly with respect to your debt ratios and where you might be comfortable taking them if the right deal comes along?
Michael Greiner: Yes, fair question, Jason. So as Jim just mentioned, we’re – we’ve got two acquisitions under our belt now. We feel really good about the process by which we went and sought those out, and in a diligence they’re under. So we’ll continue to keep that disciplined approach. So we don’t have anything currently to announce in the near-term. That being said, for the right opportunities, our current facility allows us to go up to 3.75 times from a net debt-to-EBITDA ratio. our comfortable zone and one that make sense for us from a capital structure standpoint is somewhere in the 2.5 times, but will we be willing to go over 3 and then pay that down over a period – an appropriate period of time. I think we would be for the right opportunity. But as you’ve seen, we’ve been talking about M&A for the better part of 18 months. And currently we’ve only gotten two over the finish line, and that remains to be seen what additional ones we will have. But I think going over 3 in a temporary format or temporary timing for the right one is something we feel comfortable digesting.
Jason Mills: Sounds good. That’s helpful. Thanks, Mike. And then just a few product-related questions, Jim. AngioVac addresses a really large market if you look at the various segments of the market on the venous and arterial side. Can you talk about the clinical evidence you seek to obtain over time there? And what your strategy might be over time, both from a clinical evidence standpoint, as well as how you might look to address the market from a sales force standpoint, where that would fit into an existing sales force or whether that might be big enough ultimately to require its own dedicated sales force or specialist? And also I guess, a similar question as it relates to NanoKnife and following up on the last question. What sort of longer-term plans you have for selling that product even within the current infrastructure, or whether or not that opportunity might necessitate its own specialists? Thank you, guys.
Jim Clemmer: Okay. So good set of questions, Jason. So a couple of things. Let me start to the sales question you asked. I’ll start first on the AngioVac side. So back in January 1 – I’m sorry, June 1, our fiscal year for 2019, we – I think we communicated that we split our sales force in the VIT group. So we now have a people – a set of people that carry just the AngioVac and the catheter from both of those products, as well as our core Angiographic Catheter. So we split away the Venous Insufficiency products from them, gave them more room to specialize me with their clinical physicians, so that we did. Over time, as I mentioned, we’ll probably add more products and technologies to this offering between Uni-Fuse on the lower-end of acuity and AngioVac on the high-end will add new technologies. And Jason, you’re probably getting to where decisions we’ll make. At some point, do we just have a thrombus or clot-only sales force. We’ll cross the bridge when we get there when we have the right technology. Now to continue your other part of the AngioVac question, I think, we’ve communicated that we have ongoing R&D work being done. We expect to launch a new version of AngioVac this summer, which help physicians use the product in a more easier format, get it to areas they like to get it to within the venous structure. And then from there, we have another iteration will come out in about 12 months to 18 months after that, which will change the size of the device that we believe and we’re still doing work here, may allow us to then do the necessary work to follow for a PE indication. So we still – these are things we’re working on internally. We’re not ready to do that yet. But we believe that AngioVac can be expanded through our R&D efforts to make it more physician-friendly and then again going after a new market for clot care, it’s very, very important to us. And then as we expand our technology offerings with what we believe will bring in from M&A, we’ll have a really, really important clot and thrombus portfolio. And we’ll make sure that any sales force changes that need to be made, we’ll make along the way, it’s really an important area. We’re really fortunate to have really good selling and marketing teams now in a really effective at communicating what our products can do. Now switch over to the NanoKnife question you asked a minute ago, we’re doing the same thing there as well as I mentioned on our call. In two weeks, we have our sales forces coming together, and we’re training people along the RadiaDyne, the BioSentry and our core ablation products. We also have specialists in oncology and medical fairs team ready to work with our clinician partners and our physician partners that want to use the NanoKnife we hope for our new registry-based approach. Over time, we’ll talk to you more completely even next week and over time, we think the spring layout you more of a timeline of how we think we’ll expand NanoKnife and other opportunities to go after other organ care and treatment. But we really want to get the FDA pancreatic cancer indication done first, get that ball over the goal on and communicate to you what that means for us and then we’ll talk to you about other organs that we can take a similar approach with. And all along the way, Jason, we think we’ll also match our selling and marketing efforts to make sure that we have the global approach necessary to communicate the effectiveness of our products.
Jason Mills: Thanks, Jim. Thanks, Mike.
Jim Clemmer: Thank you.
Michael Greiner: Thanks, Jason.
Operator: Thank you. Our next question comes from the line of Jayson Bedford with Raymond James. Please proceed with your question.
Jayson Bedford: Good morning, and happy New Year, guys. A few questions for you. I guess, just starting with NanoKnife, does the Category B designation change the timeline or the structure of the trial in anyway?
Jim Clemmer: Jayson, hi, let’s Steve chime in.
Stephen Trowbridge: Hi, Jayson. No, the Category B designation doesn’t change our projected timeline or structure. In fact, we were putting together a strategy aimed at getting this Category B designation and all the benefits that come along with that. So just to take a step back, you remember our primary focus for creating this study was to provide a comprehensive data generation plan that’s going to provide meaningful data to our customers, to physicians, as well as patients, provide us a pathway to get the proper regulatory coverage and then move us into reimbursement. The Category B designation really tied to bow around that last piece of reimbursement. So you remember we talked previously about receiving the specific ICD-10 codes for NanoKnife. We then talked about where those codes mapped into from a DRG perspective into what we think are the right DRGs, the highest paying DRGs. And then this Category B provides that third leg of the stool, which is the coverage. So patients who are treated within our comprehensive study will now have the opportunity to get reimbursement – or excuse me, the customers will be reimbursement for using our product within their study. So it really does lend itself very well to our overall strategy of using a broad-based registry platform to create and collect this meaningful data.
Jayson Bedford: Okay. So basically, what you’re saying was, there was a risk that you’d get approval for the study, but participants wouldn’t get reimbursed. So now you have effectively reimbursement with this Cat B designation?
Michael Greiner: That’s correct.
Jayson Bedford: Okay. Is the trial still expected to be 200 patients in each arm?
Michael Greiner: Give or take, right? So this is some of the final little crossing of the t’s and dotting of the i’s that we’re doing with the FDA right now to get to the final details on that. I think that’s probably correct, where you – where we’re looking at a pretty large comprehensive trial to compare what it’s like for patients who are treated without NanoKnife to those patients that, that get the opportunity to be treated with NanoKnife and then measuring what that outcome survival benefit is going to be. So that’s probably right around the sides you should think of.
Jayson Bedford: Okay. And then last one on this topic. Just for clarity, the ultimate approval for the pancreatic label would be based on data from the direct trial, or will it be based on data from the registry data that you collect?
Michael Greiner: Those are two and those are one of the same. So there’s the direct trial that we’re doing is a comprehensive study that has the registry-based platform to it with some embedded RCT again, to provide that comprehensive data. So you shouldn’t think of those two several things. So the ultimate approval as we see it will be based upon the full body of evidence that we’re able to provide for the regulators.
Jayson Bedford: Okay, thank you. Just a couple of more product line questions. The 7% growth in Fluid Management seems high and congrats on that, but seems high for a market that is effectively kind of flattish to maybe up one. Can you maybe talk about the contribution of either price or portfolio mix and just the sustainability of this type of growth in Fluid Management?
Jim Clemmer: Hey, Jayson, it’s Jim. I think about a year-and-a-half ago, I talked to you in the investor community about how we are treating our Fluid Management platform a bit differently. It’s a challenging business to run. It’s got many SKUs and customers love us, because we do a great job. They love the NAMIC brand, because we do a really good job giving them what they want. So I talked to you a couple by a year-and-a-half ago that we made some changes. We reduced some SKUs to raise our operational efficiency. We raised some prices in areas and we’re working to do business in many more. And I think what we still found is the value of NAMIC what we do is unique. We’ve got one or two good competitors out there, but NAMIC is a well-trusted brand. We have great products going back to the [indiscernible] that people really love and trust. So I think what you see right now is a combination of the quality of our products, the quality of our service and then we have really good selling and marketing infrastructure supported by a great operational team that can pull efficiencies out and make a tough business like this run really well. So we think it’s one of the crown jewels of AngioDynamics, well-managed, well-run. Over time, we need to decide what businesses we should be and how we manage them, but this has been a great example, and when we put our efforts towards something what our results can be.
Jayson Bedford: And the sustainability?
Jim Clemmer: Long-term, I don’t know if I’d hang on a seven number. I think, we’re outperforming the market in a really strong way. We know the strength of the business. We’ll always outperform the market. I don’t know if we’ll keep a seven handle on that, Jayson, you’re probably asking a fair question. We’ve not guided you guys in that way. We’re just starting to performing really well, but it will always outperform we believe the market.
Jayson Bedford: Okay. And then last line for me is similar questioning on Vascular Access. Ports, Dialysis high single-digit growth is clearly faster, I think, than the market, and I realize some of it was maybe comp-related. But is the strength all due to share gains? Was there a new geography there? What really drove that type of growth in Ports and Dialysis?
Jim Clemmer: Yes. It’s a good question, so two things. Externally, we’ve done a really good job OUS in some of the VA. Business. The team there has done a really good job OUS. So there’s some geographic growth we’ve had in the U.S. as well. Again, we keep driving on the core benefits of our BioFlo technology. We know we make the best catheters. We have a challenge with PICCs to get them into people’s hands. We know about that. If you look at Ports and Dialysis, we have our great products and then we have a really good selling and marketing team that can communicate the effectiveness of our technology to our customers in a manner that maybe we weren’t as good at a couple of years ago. We had new people join us that have sold products like this for other companies and really well experienced. And the combination of those good experienced people now with our technology, I think, is really getting us back to this specific growth we’ll see in these categories.
Stephen Trowbridge: And Jayson, just add a little more detail there. Both non-BioFlo and BioFlo Ports and Dialysis are both growing. with BioFlo in both categories at least for this quarter growing double digits.
Jayson Bedford: All right. Thanks. I’ll get back in queue.
Jim Clemmer: Sure.
Operator: Thank you. [Operator Instructions] Our final question comes from the line of Matthew Hewitt with Craig-Hallum Group. Please proceed with your question.
Matthew Hewitt: Good morning. Congratulations on the strong quarter.
Jim Clemmer: Thanks, Matt. Good morning, Matt.
Matthew Hewitt: Just one for me. I think, you mentioned in your prepared remarks that the RadiaDyne and BioSentry teams would be cross-trained here coming up soon. What kind of growth do you anticipate that adding once they are up to speed?
Jim Clemmer: Matt, it’s Jim. We’ll do – Michael reiterated our outlook for FY 2019 earlier. So we’re going to continue the range we gave you for revenue. And I think over time, when we get our sales force fully aligned and trained, you’ll probably see more of an effect when we give our 2020 guidance to you, and we’ll give you more clarity around 2020 guidance. But like anything, when you look at the trading aspect of what happens, we’ve done a lot of pre-training too prior to the event we’re holding and we can have. But it’ll take a little bit of time for these people. We have new managers, new people, new geographies, so we’re fortunate to have three really good teams coming together. But we don’t think we’ll really see an effect right out of the gate in this current fiscal year that we already gave you that guidance. But we wouldn’t be doing this if we didn’t think we’ll have a much stronger and long-term effect to communicate the effectiveness of each of these technologies and it’s kind of funny even in the first few months. We’ve already seen some of our sales reps say, “Oh, wait a minute. Now you can talk to me about that, those symmetry monitoring system and radiation therapy. I hear that’s really interesting, let’s talk about that. So I think we’re going to have a crossover effect of our sales and going even from base AngioDynamics, we had about 20 people in the U.S., now we’re going to have 30 in two weeks by bringing in the BioSentry and RadiaDyne people. And those people are really, really good and they’re going to now have the AngioDynamics portfolio of ablation products to sell as well. So we’re really excited, but we’re not going to move any other guidance beyond what Michael gave you this morning.
Matthew Hewitt: Understood. All right. Thank you very much.
Operator: Thank you. And that concludes our question-and-answer session. I’ll turn the floor back to Mr. Clemmer for any final comments.
Jim Clemmer: Thank you for joining us today. I think, we are proud to put these results out today. They’re indicative of how our company expects to perform, which is a good consistent growth company that also has a high-level of efficiency and effectiveness that can drop our growth through to profitable manner and generate free cash flow and strong returns. We’re able to do this by the combination of the quality of our products, our technology and the quality of our people. The last year-and-a-half or so, we’ve added a lot of people in new capabilities to AngioDynamics and we’re stronger and better company for those people joining us. What’s also really important to us, we’re building a culture, which goes below a lot of the things that we can share with you on these calls, but the culture of AngioDynamics is changing. People with a high-level of capability and accountability and the willingness to roll up their sleeves and work hard for the patients who can get care delivered to them by the quality of our products. So we’re really proud to work hard. We’ll talk to you in a few months, and thank you for joining us today.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.